Operator: Good day and thank you for standing by. Welcome to the Dundee Precious Metals fourth quarter 2022 earnings results conference call.  At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during the session, you’ll need to press star-one-one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star-one-one again. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Jennifer Cameron, Director of Investor Relations. Please go ahead.
Jennifer Cameron: Thank you and good morning. I’m Jennifer Cameron, Director, Investor Relations, and I’d like to welcome you to the Dundee Precious Metals fourth quarter conference call. With us today are members of our senior management team, including David Rae, President and CEO, and Navin Dyal, Chief Financial Officer. Before we begin, I’d like to remind you that all forward-looking information provided during this call is subject to the forward-looking qualification which is detailed in our news release and incorporated in full for the purposes of today’s call. Certain financial measures referred to during this call are not measured or recognized under IFRS and are referred to as non-GAAP measures or ratios. These measures have no standardized meaning under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management’s reasonable judgment and are consistently applied.  These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures.  Please note that unless otherwise stated, operational and financial information communicated during this call are related to continuing operations and have generally been rounded. References to 2021 pertain to the comparable periods in 2021, and references to averages are based on midpoints of our outlook or guidance.  I’ll now turn the call over to David Rae.
David Rae: Good morning and thank you all for joining us today. I’d like to start by welcoming Navin Dyal, our Chief Financial Officer and newest member of DPM’s senior management team to his first quarterly call since joining us in November of last year. Overall, the leadership team at DPM is very proud of what our global team has achieved this past year, delivering strong results at our mining operations and advancing the company’s future prospects, all while maintaining the high standards for safety and sustainability performance that are core to our culture. Today Navin and I will provide a brief update on our Q4 results and full year results for 2022 and discuss why we believe DPM continues to be well positioned to deliver value to all our stakeholders now and over the long term. I’ll also outline why we are excited about what lies ahead for DPM in 2023 and beyond given our future pipeline, our success in exploration and our proven ability to optimize our assets, all DPM strengths that were underscored by our two recent announcements, namely the updated life of mine plan at Ada Tepe and the new high grade discovery at Čoka Rakita in Serbia. Looking back at the past year, I’m pleased to report that in 2022, we continued our record of strong consistent performance at our operations. We produced approximately 273,000 ounces of gold and over 30 million pounds of copper. Despite industry-wide cost pressures, our all-in sustaining costs were within our guidance at $885 per ounce. We generated $166 million in free cash flow and we ended this year with a strong financial position with over $430 million in cash and strong liquidity, including a $150 million undrawn revolving credit facility and no debt. We continued our impressive safety record with our Bulgarian operations, achieving over 6 million hours without a lost time incident. We remain leaders in sustainability performance, scoring in the 93rd percentile among metals and mining companies in the 2022 S&P Global Corporate Sustainability Assessment, and we were included in the Sustainability Yearbook, which recognizes the top 15% of companies for the second consecutive year. We completed a life of mine and plant update for Ada Tepe, adding additional high margin ounces to our production profile. We announced a high grade discovery at Čoka Rakita which has significant additional exploration potential and last month announced that our board has approved a new share buyback program to purchase up to $100 million of our outstanding shares. Looking at our operations in more detail and starting with Chelopech, our largest mine continued its track record of strong performance in 2022, producing 179,000 ounces of gold and 30.8 million pounds of copper, within its annual guidance for gold and slightly below the low end of guidance for copper. In 2022, brownfield exploration at Chelopech focused on an intensive drilling campaign that supports the application for a commercial discovery. The application is now near completion and we expect to submit it to the Bulgarian authorities in the first quarter. In 2023, we plan to drill approximately 50,000 meters to test conceptual targets on the Brevene exploration license which immediately surrounds Chelopech as well as within the Chelopech mine concession, which includes follow-up on the [indiscernible] prospect and testing for deeper extensions of the Chelopech deposit. Within proof in mine and brownfield exploration drilling, we believe there is strong potential to continue our track record of extending mine life at Chelopech, which currently extends to 2030.  Turning now to Ada Tepe, the mine had another strong year in 2022 with production of approximately 94,000 ounces of gold, which was at the higher end of our guidance. All-in sustaining costs of $755 per ounce of gold sold was below the low end of its guidance range. Ada Tepe delivered its highest quarterly production of 2022 in the fourth quarter, producing over 28,000 ounces of gold. After completing the push-back in the third quarter, gold grades increased as planned and the mine is well positioned for high grades continuing in 2023. Ada Tepe has consistently outperformed our expectations since commissioning in 2019 and we are confident that Ada Tepe will continue to deliver strong results supported by the updated life of mine plan we announced in January.  Highlights of the updated life of mine plan, which was the result of our accelerated grade control drilling program and the strategic mine planning study, includes a 22% increase to life of mine recovered for an additional 66,000 ounces of gold compared to the previous life of mine plan. There was also a 13% increase in gold grade and a 1% decrease in recovery. The new life of mine plan has also improved DPM’s three-year outlook for production, as Navin will outline shortly. Overall, the new plan for Ada Tepe is another example that highlights the strength of our technical and operations team in Bulgaria and their ability to maximize the long term value of our assets.  At Tsumeb, performance in the fourth quarter was impacted by a 17-day shutdown to repair a water leak in the off-gas system, as well as instability in the power grid as a result of abnormally heavy rain in December. As a result, complex concentrate smelted for the year of 174,000 tons was below 2022 guidance. As we look ahead to 2023, we have a maintenance strategy in place to address the water leaks which we encountered last year, and we are forecasting a consistent throughput rate over the next three years. We are also expecting cost per ton to decline, reflecting our efforts this past year to optimize efficiencies and reduce cost, an initiative that continues. Turning to our development projects, I’ll start with our activities in Serbia. Last month, we were pleased to announce a new high grade discovery at the Čoka Rakita prospect located three kilometers southeast of the Timok project. To reiterate a few highlights from that announcement, drilling at Čoka Rakita defined a large high grade footprint that remains open in multiple directions and which we believe provides additional upside potential. Significantly, preliminary metallurgical test results indicate that the mineralized material is amenable for conventional floatation, produces a clean gold concentrate, achieving total combined gold recoveries of greater than 93%, including floatation and tails leaching. Test work to potentially improve gold recovery using the combined gravity and floatation circuit alone is planned for 2023.  Given the potential impact of Čoka Rakita on Timok, we will be focusing on further exploration at Čoka Rakita in 2023 and we are therefore pausing further work on the Timok feasibility study. Exploration this year will include approximately 40,000 meters of infill and extensional drilling, and we are targeting an initial mineral resource estimate by the end of 2023. We are excited about this new development and I look forward to updating you with the next set of drill results expected in the second quarter. Turning to Loma Larga in Ecuador, drilling activities as well as the citizens participation process for the environmental impact assessment remain paused pending the outcome of the appeals process related to the decision on the constitutional protective action following the hearing held in mid-October. The decision on the appeal is expected to provide clarity on the consultation process and whether an Indigenous consultation could be completed in parallel, as we originally planned, or would need to be completed prior to resuming the citizens participation process. The expected timing for receipt of the environmental license is subject to the outcome of the appeal process. As we announced last night, we are extending the optimization phase of the updated feasibility study, which we now expect to complete in the second half of the year. This will allow us time to evaluate additional optimization opportunities and to leverage our significant operating experience with similar deposits such as Chelopech, and potentially to incorporate the results of the drilling program once we’re able to restart those activities. Prior to the acquisition of Loma Larga, we determined that the capital estimate made by the previous owners in their 2020 feasibility study was low relative to our assessment. We’ve also incorporated certain scope changes as part of our feasibility study work to enhance project execution and meet DPM’s operating standards, and we’ve seen inflationary pressures consistent with general industry trends which are impacting capital and operating costs and potentially the calculation of mineral reserve and resources. By extending the timeline for the feasibility study, we have the opportunity to pursue optimization opportunities to offset these impacts, including by leveraging the strength of our operations team. We continue to see Loma Larga as a high quality project with the potential to generate strong economic returns following the results of this ongoing optimization work. In parallel, we continue to progress discussions with the government of Ecuador regarding an investor protection agreement which we are targeting for completion by the end of the first quarter. In line with our disciplined approach to project development, we do not anticipate making any significant capital commitments to the project prior to the completion of the investor protection agreement and receipt of the environmental license. At our Tierras Coloradas concession in Ecuador located in Loja province, we completed approximately 2,700 meters of drilling within the last quarter. This program tested the high grade low sulphidation vein system which was previously identified in 2020. The change in stages of the Tierras Coloradas project from early to [indiscernible] stage exploration is in progress and all regulations and authorizations required from the different Ecuadorian authorities are expected to be received by early 2024. In closing, this past year our people have demonstrated the strengths that help DPM stand out in the gold industry and which represent a compelling value opportunity for investors. These highlights include strong, consistent production from our operations and an all-in sustaining cost that ranks among the lowest in the gold industry. There is also a robust free cash flow profile, financial strength and flexibility, a record of disciplined capital allocation and returning capital to shareholders, attractive development projects, proven exploration success both in extending mine life at our operations and discovering new brownfield opportunities, an industry-leading ESG performance and an impressive track record in securing our social license to operate, and finally a strong and tempered team with a history of adding real value to innovation. Now I’ll turn the call over to Navin for a review of our financial results and outlook, following which we will open the call to your questions.
Navin Dyal: Thanks David and good morning everyone. I’m very pleased to have joined DPM as CFO during an exciting time for the company. Since joining, I have been impressed by the quality of the people, the strength of the balance sheet, as well as the tremendous opportunities for growth. Looking forward, with robust free cash flow, significant cash on hand and no debt, we are well positioned to invest in our future as we continue returning a portion of our free cash flow to shareholders.  Now let me turn to the financial highlights on our fourth quarter and year end results, after which I’ll discuss our 2023 guidance and improved three-year outlook. As David mentioned, we delivered robust gold production in line with guidance. All-in sustaining cost per ounce of gold sold, which was within the guidance range, reflects varying factors throughout the year, including inflationary cost pressures and lower volumes of metals sold, as expected, partially offset by a stronger U.S. dollar. Notwithstanding, we generated adjusted net earnings of $33 million in the fourth quarter compared to $51 million in the fourth quarter of last year. The quarter-over-quarter decrease was largely related to lower volumes of metals sold. As well, adjusted net earnings of $129 million compared to $202 million in 2021 were impacted by lower volumes of metals sold partially offset by a stronger U.S. dollar.  Net earnings attributable to common shareholders in the fourth quarter of 2022 were $33 million or $0.18 per share, compared to $52 million or $0.27 per share in the same period in 2021. Net earnings in 2022 were $36 million or $0.19 per share compared to $191 million or $1.02 per share in 2021. These increases were due primarily to an impairment charge of $85 million in respect of Tsumeb, which were recorded in the third quarter, as well as lower volumes of metals sold partially offset by a stronger U.S. dollar. In terms of our cash flow metrics, fourth quarter and full year cash flow from operations before changes in working capital were $52 million and $227 million respectively, while free cash flow which also considers outlays of sustained capital were $33 million and $166 million respectively. These results were both lower than the corresponding periods in 2021 largely due to lower volumes of metals sold. Turning to our key cost measures, as expected, costs were up over 2021 levels, reflecting the local inflationary environment, and in the case of all-in sustaining costs lower by-product credits from lower copper production and sales and higher sustaining capital which was partially offset by a stronger dollar. Taking a closer look, our all-in sustaining--consolidated all-in sustaining costs in the fourth quarter 2022 were $1,008 per ounce, up 33% relative to the prior year period. All-in sustaining costs for the full year 2022 of $885 per ounce were 35% higher than 2021 due to the factors I mentioned earlier, as well as higher freight charges.  At Tsumeb, cash costs for the fourth quarter and 12 months of 2022 of $443 and $463 per ton respectively was comparable to the corresponding periods in 2021 due primarily to the higher by-product credits from sulfuric acid sales and lower labor costs related to a cost optimization initiative we undertook in 2022, partially offset by lower volumes of complex concentrates smelted and higher local currency operating costs.  Turning to capital expenditures, sustaining capital expenditures incurred during the fourth quarter and 12 months were $16.7 million and $58.2 million respectively, which is comparable to the corresponding periods in the prior year of $12.3 million and $52.5 million. Growth capital expenditures incurred during the fourth quarter and 12 months of 2022 were $11.1 million and $32.4 million respectively compared to $7.4 million and $17.1 million in the corresponding periods in 2021 due primarily to activities related to the development of the Loma Larga and Timok gold projects.  Let’s turn to our outlook and guidance. Our updated three-year outlook reflects higher production in 2023 and 2024 as well as an improved outlook for all-in sustaining costs relative to the update we provided in the third quarter of 2022. Highlights of the updated outlook include average annual gold production of approximately 270,000 ounces of gold and 32 million pounds of copper over the next three years and an effective all-in sustaining cost profile that continues to rank us as one of the lowest cost gold producers of our size. All-in sustaining costs are expected to range between $700 and $860 per ounce in 2023 and between $720 and $880 per ounce in 2024 and 2025, which is lower than previously expected. This reflects the benefits of higher expected volumes of gold sold as a result of the updated life of mine plan at Ada Tepe and higher by-product credits due to a higher copper price assumption partially offset by a weaker U.S. dollar. At Tsumeb, we are focused on achieving a consistent rate of throughput along with lower costs. We expect to resolve the water leaks we encountered in 2022 by April of this year and we are forecasting complex concentrate smelting to be between 200,000 and 230,000 tons over the next three years. A consistent throughput rate is also expected to benefit cash cost per ton of complex concentrates smelted, which is planned to trend lower over the next three years. It also reflects additional estimated cost savings as we continue to advance the cost reduction program that we initiated last year. In terms of our consolidated sustaining capital, we expect spending to trend lower over a three-year period due primarily to the completion of the upgraded tailings management facility at Chelopech and a gradual reduction in activities at Ada Tepe as the mine approaches its end of life in 2026. Our detailed guidance for 2023 is outlined on Slide 17 of the webcast. A few items to note with regard to our expected growth capital and exploration spending for 2023. For 2023, we are forecasting approximately $10 million to $14 million of growth capital for Loma Larga, which is largely related to the estimated run rate for G&A as well as permitting, social and environmental related costs. As we achieve certain milestones for the project, we will increase our guidance for [indiscernible] capital, reflecting funding [indiscernible] drilling and to further advance permitting. As we disclosed in January, we are pausing work on the Timok feasibility study to focus on further exploration at Čoka Rakita; as a result, growth capital for the project is significantly reduced relative to last year, ranging between $1 million and $2 million.  Our [indiscernible] in 2023 reflects increased activities in Serbia following the high grade discovery at Čoka Rakita we announced last month, and an advanced brownfield drill program at Chelopech related to Sveta Petka and Sharlo Dere. As a result, our exploration spending this year is expected to be between $25 million and $30 million.  DPM continues to take a balanced approach to capital allocation which focuses on balance sheet strength, capital returns to shareholders, and reinvestment in our business to sustain the long term future of this organization. In 2022, we increased our return of capital to shareholders. In addition, through our sustainable quarterly dividend which offers an attractive yield of 2.7%, we purchased approximately 2.5 million shares under our NCIB. In aggregate, we returned a combined total of $44 million or 27% of our 2022 free cash flow to shareholders. To offer another way of looking at it, this translates to approximately $182 per ounce of gold in 2022. In 2023, we are further enhancing our share repurchase program with board approval to renew the NCIB subject to acceptance by the TSX for the purchase of up to $100 million of our shares outstanding. This represents approximately 10% of our public float at today’s share price. With a cash position of $433 million as at December 31, no debt, an undrawn $150 million revolving credit facility and continuing strong growth--strong free cash flow generation, we are well positioned to fund each of those opportunities that generates additional value for stakeholders while continuing to return capital to our shareholders. With that, I will turn the call back to the Operator for Q&A.
Operator: [Operator instructions] Our first question comes from the line of Wayne Lam with RBC Capital Markets.
Wayne Lam: Yes, thanks. Good morning guys.  Just wanted to ask you, the guidance for the three years is relatively flat. Just wondering how does that factor in the planning and shutdowns [indiscernible] 18-month cycle, and when’s the next scheduled shutdown given the maintenance periods undertaken in 2022?
David Rae: Yes, good morning Wayne. The next shutdown is planned towards the end of the year in Q3, and there’s some possibility that may move out. Having said that, you’ll recall that Navin said that we have some potential to replace some of the items in the water cooling system in Q2.  If you look back at our production over previous years, we’ve achieved 230,000 tons [indiscernible] on two occasions, once with a shutdown, once without, so if you look then at the guidance of 200,000 to 230,000 tons, we can achieve that with or without a shutdown. 
Wayne Lam: Okay, perfect. Thanks. Then maybe just at Chelopech, can you just comment on the copper grades and what you’re seeing there in terms of modest cut versus the prior outlook?
David Rae: Some part of that is just practicality. If you go back to the previous technical report, you’ll find that we were saying we were going to produce a lower grade copper concentrate, and part of producing a lower grade concentrate is increased concentrate tons. We’re just waiting for the installations of some upgrades to our system, so moderating the copper grade going into the plant is one of the options that we have and that’s what happened in Q4. 
Wayne Lam: Okay, great. Thank you. Then maybe just lastly, just at Loma Larga, what kind of timing are you guys looking at if the Indigenous consultation can’t be completed in parallel, and then just wondering if there might be a scenario in which Timok is able to be accelerated and potentially prioritized in the pipeline ahead of Loma Larga.
David Rae: The timing, it’s obviously--I would say the best thing at this point is to wait to see what happens in terms of the response [indiscernible] but particularly the constitutional protective action, and at the point that we get that result, we’ll be able to give better guidance. At this point, we’re saying we would anticipate that would be six months of difference between being able to run in parallel and having to run in series with the Indigenous consultation and the planned consultation from non-Indigenous groups. In terms of the scenario on prioritization, I think at this point what we’d like to do, our activity is primarily focused not on Timok but on Čoka Rakita. Could we accelerate that one? I think the answer is no for Timok, but we’re doing what we can to understand our option to prioritize Čoka Rakita.
Wayne Lam: Okay, that’s it for me. Thanks.
Operator: Our next question comes from the line of Don DeMarco with National Bank Financial. 
Don DeMarco: Thank you Operator, and good morning David and team. Congratulations on the three-year outlook - better than expected costs. But regarding the costs, can you provide some color on how the consolidated AISC remains stable from ’24 to ’25, despite production easing and copper remaining flat?
Navin Dyal: Sure, hi Don, it’s Navin here. Yes, so we can [indiscernible]. One of the things that’s happening, and we were seeing this in the fourth quarter with our all-in sustaining costs, was that we are still working through a large inventory balance when it comes to [indiscernible]. That actually ends up in our sustained costs, and we would expect that that inventory, that’s really non-cash, it’s really inventory that’s been built up and we have cash allocated on that in the balance sheet that’s coming through essential until 2024, so don’t be expecting to see that inventory movement that is really kind of just buried in our costs appear in 2025.
Don DeMarco: Got it, okay. That’s helpful. Second question regarding the upsized NCIB - it’s welcomed, and this should provide some share price support. But did the board also consider redeploying the proceeds from Sabina into another developer? With Dundee’s strong balance sheet, you guys are in a good position to mitigate development risk, not unlike what B2 has done with the acquisition of Sabina. 
David Rae: I think we keep an eye on opportunities in the market, look for opportunistic ways in which to, let’s say, take a balanced approach to capital allocation, so definitely we look for opportunities like that; but at the same time, we recognize that we’ve got the Sabina cash in our [indiscernible] which we had not planned at that stage, and also we have a situation where Loma Larga is potentially moving back in time, and given that, we thought it was appropriate to give ourselves some [indiscernible]. I think just to make sure that we’re not confusing things, the NCIB is not reliant on Sabina. I don’t know if that makes sense, Don, or if there’s other--
Don DeMarco: Yes, that makes sense. I mean, you’ve got a strong war chest of cash and you’re looking at different options to deploy it. Buying back shares is certainly a good option. I’m just wondering--you know, it sounds like you’re also considering alternative developers to Loma Larga, but just maintaining a prudent approach on that.
David Rae: That’s right.
Don DeMarco: Thank you, that’s all for me.
Operator: As a reminder, to ask a question, please press star-one-one on your telephone. Our next question comes from Raj Ray with BMO. Raj, your line is now open.
Raj Ray: Thanks Operator, good morning Dave and team. My first question is on your costs. Look, it’s great to see $800 an ounce, I assume the entire industry is close to $1200. If I look at the electricity subsidy that you got in 2022, just wanted to see how much of that is baked into your 2023 and 2024. Is that a number that you can provide?
Navin Dyal: Yes, hi Raj, it’s Navin again. Yes, so in 2023, we’ve--the Bulgarian government has continued that subsidy, so for 2023, that subsidy equates to 200 Bulgarian lev per megawatt hour. That translates to about US $110 per megawatt hour. We’ve assumed for purposes of our outlook [indiscernible] 2024 and 2025 that that would continue as well, either in the form of a subsidy or the form of reduced energy costs as you see the work return to normal.
Raj Ray: Okay, that’s great, Navin. If you look at your cost structure and your three-year outlook, what’s the biggest external risk you see to maintaining that cost? I mean, obviously you’ve built in some [indiscernible], but is there anything there in your opinion that might move the cost on the higher side?
Navin Dyal: Yes, again we benefit from that energy subsidy, which is a huge benefit to us. I mean, we have been seeing inflationary pressures when it comes to cement, steel, hence why part of the decision we made is to further look at [indiscernible] to further optimize that, because we’re seeing the inflationary pressures. I would say in terms of risks, probably with respect to some of those materials that are used in construction as we look to expand and grow our business, but within the operations, I think we’ve got a pretty good handle on costs and we’re doing other things that potentially could mitigate the effects of this rise in costs or inflationary pressures.  At the same time, local inflationary pressures are being offset by a strong U.S. dollar, which has helped us tremendously to the tune of about $100 per ounce this past year.
Raj Ray: Okay, that’s great. My next question is for Dave. Dave, on Ada Tepe, if you look at the three-year outlook, what’s the strip ratio over those three years that we should be modeling?
Navin Dyal: We can come back to you on that, Raj. 
Raj Ray: Okay, no worries.
Navin Dyal: We’re going to have an updated technical report on that.
Raj Ray: Okay, thank you. Then on Chelopech, as I understand, the results of the reserve statement is going to be out by the end of Q1. Can you give us any sense of what we should be expecting in terms of how much of the drilling was infill versus expansion, and whether you’re just looking to replenish reserves this year or should we expect some incremental growth as well?
David Rae: I can’t give you any specifics on what will happen at the end of the month, of course, the end of March, but what I can say is that two-thirds of our drilling underground is extensional, and that’s typically what we do year in, year out, so we do around 44,000 meters in total. Of course, we’ve got some additional drilling for the circuits, and a lot of that is into the areas such as Sharlo Dere, which are within the concession, but still more to do there as you’ve seen from our exploration plans for this year.  For the last two years, we’ve been able to hit our depletion and add resources and reserves to Chelopech, and that’s our ongoing goal. 
Raj Ray: Okay, thanks Dave. Then one last question on Čoka Rakita, how is the news flow looking over the next few months? What should we expect?
David Rae: There’s going to be additional news coming out in Q2. We have seven drills running at the moment and we are actively--[indiscernible] we’re doing what we can to get additional insights as quickly as possible. All seven of those rigs are on Čoka Rakita. We’re right smack-bang in the middle of winter, which doesn’t always make it easy when you have an inch and a half of snowfall on the site, as we did the other day, but I’m happy to say our team’s doing an exceptional job of making sure that we get that information. It will take a little more time for us to get the results back because we are doing additional analytical work on anything where we see visible gold, so just if you’re trying to work out what convention you might see in terms of timing, that’s why it takes us a little longer on this next [indiscernible] that we’ve got clarity on the analyses of the [indiscernible].
Raj Ray: Okay, that’s great, Dave. Thanks a lot. That’s it for me.
Operator: That concludes today’s question and answer session. I’d like to turn the call back for closing remarks. 
Jennifer Cameron: Thank you everyone for joining us. If anyone has any further questions, please feel free to reach out; otherwise, we look forward to speaking with you in the coming weeks. Thanks and take care.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.